Operator: Good morning, ladies and gentlemen, and welcome to JetBlue Airways Fourth Quarter and Full Year 2011 Earnings Conference Call. Today's call is being recorded. We have on the call today, Dave Barger, JetBlue's CEO; and Mark Powers, JetBlue's CFO. Also on the call for Q&A is Robin Hayes, JetBlue's Chief Commercial Officer. As a reminder, this morning’s call includes forward-looking statements about future events. Actual results may differ materially from those expressed in the forward-looking statements due to many factors and, therefore, investors should not place undue reliance on these statements. For additional information concerning factors that could cause results to differ from the forward-looking statements, please refer to the company’s annual and periodic reports filed with the Securities and Exchange Commission. At this time, I would like to turn the call over to Dave Barger. Please go ahead, sir.
David Barger: Thank you very much, Sandra. Good morning, everyone, and thank you, all for joining us today. We're pleased to announce another profitable quarter for JetBlue. This morning we reported a fourth quarter profit of $23 million, an improvement of $15 million compared to the fourth quarter of 2010 and our highest fourth quarter profit in our history. Despite higher fuel expense of more than $500 million for the full year 2011, we reported net income of $86 million or $0.28 per diluted share. Looking back at 2011, it was a very good year for JetBlue. In addition to running a solid operation, we executed on our network strategy and key markets such as Boston and the Caribbean, while maintaining our cost advantage. These actions resulted in record revenues and one of the most profitable years in our company's history. At the same time, a continued focus on disciplined capital spending helped drive our third consecutive year of positive free cash flow, an important goal for JetBlue. We also maintained strong liquidity throughout 2011 ending the year with approximately $1.2 billion in unrestricted cash and short-term investments or 27% of trailing 12 months revenue. These results of course, would not have been possible without the hard work and dedication of JetBlue's 14,000 crew members, who bring the JetBlue brand to life everyday in delivering the JetBlue experience to our customers, an experience that is unrivaled in the industry and well-deserving of our seventh consecutive J.D. Power Award for Service Excellence. I'd like to take this opportunity to thank our crew members for achieving these strong results and we are pleased to reward our crew members for their contribution to our financial success. Our 2011 results include a $31 million profit-sharing payout to be paid to our crew members in March. Despite an uncertain economic environment, we generated record revenues of approximately $4.5 billion in 2011, up 19% year-over-year. PRASM for the full year was up 11.6% year-over-year, driven primarily by a 10.2% increase in yields. We believe our 2011 PRASM results are among the best in the industry. In fact, our monthly domestic PRASM results outperformed the A for A domestic industry average in 3 quarters of 2011. We are particularly pleased with our industry-leading PRASM performance in chiller [ph] months, such as May and September, reflecting the success of our network strategy to reduce the seasonality of our business, a key driver of sustainable, profitable growth. Ancillary revenues continued to be an ongoing focus for JetBlue throughout 2011 and helped drive our record revenue performance. Recall, ancillary revenue is measured as the combination of ancillary revenue reported in passenger revenue and other revenue. Total ancillary revenue in the fourth quarter was about $21 per passenger and grew roughly $80 million or 18% during the full year 2011 as compared to 2010. This increase was driven in large part by strong customer response to our Even More offering as we continue to make this product more attractive to business and leisure customers with enhancements such as expedited security. We recently opened expedited security lanes at 9 new airports, bringing our total to 24 airports system-wide. We plan to add additional locations later this year. Our Even More offering generated over $120 million of revenue in 2011. We also saw a significant year-over-year improvement in other ancillary revenue streams including our Getaways vacation package business and TrueBlue frequent-flier program. Throughout the year, we continued to make important changes to strengthen our network and diversify our revenue mix, again, particularly in Boston and the Caribbean. We opened 5 new destinations from Boston and continue to make scheduled and frequency adjustments to better accommodate business customers. In addition, we partnered with Massport to consolidate the security checkpoints in Boston to improve customer flow and the overall travel experience for our customers. As a result of these actions, we have increased our percentage of higher yielding business traffic in Boston. We now estimate nearly 30% of our customers in Boston are traveling on business compared to roughly 20% of our customers in the rest of our network. Our strong PRASM performance throughout 2011 was driven in large part by increases in this higher-yielding traffic. To that end, East Coast short-haul markets were the best performing region in our network during the fourth quarter as measured by year-over-year unit revenue growth, even while we added significant capacity. We expect our 2012 growth rate in Boston to slow compared to the past 2 years as markets mature and we harvest the network investments we have made. During the first quarter of 2011, roughly 30% of Boston's ASMs were in markets that were open for less than 12 months or had business schedules for less than 12 months. We expect such new markets will be only 10% of Boston's ASM mix in the first quarter of 2012. That said, we anticipate Boston will continue to be a significant source of growth in the next few years as we aim to grow from 100 daily departures to 150 daily departures by the summer of 2015. In 2011, we also continued to build on our success in the Caribbean and Latin America where our visiting friends and relatives, our VFR traffic compliments a strong leisure base. Last year, we opened 5 new destinations in the Caribbean, including La Romana in the Dominican Republic and Liberia, Costa Rica. We also bolstered our strong position in San Juan with new service to St. Maarten in November and to St. Thomas and St. Croix in December. As we have discussed in prior calls, our Caribbean markets tend to mature very quickly, and we continue to be very pleased with our success there. With our strong brand and low cost structure, we have continued to effect competitive change in these markets. As such, competitive capacity decreased approximately 12% in our Caribbean markets during 2011. Looking ahead to 2012, we expect continued growth in the Caribbean. In 2012, we expect roughly 27% of our ASMs will be in the Caribbean and Latin America. We also continued to expand the scope of our network through airline partnerships as we began connecting customers with 7 new partners in 2011. Additionally, we announced a new partnership with Hawaiian Airlines earlier this week. This partnership includes interlined connections at JFK and LAX as well as frequent-flier reciprocity. Hawaiian will become the first of our airline partners to arrive and depart from our home at JFK when Hawaiian begins new JFK-Honolulu service in June. With 15 partners, we now offer our customers the opportunity to book travel to hundreds of destinations in 6 continents. Given our valuable stock portfolio and state-of-the-art terminal at JFK, we believe we are well-positioned to serve global carriers. To that end, we expect to add between 5 and 7 new partners in 2012. Our network strategy, which we believe has successfully driven competitive capacity reductions, demands that we have low cost. Fuel, of course, remains our largest cost challenge. Fortunately, we have a young, fuel-efficient fleet. In addition, we believe fuel hedging is an important strategy to reduce risk by reducing the impact of price volatility. We recognize, however, that we can't control the price of fuel. Prudent management of our controllable cost is always front and center and a high fuel cost environment makes this an imperative. Thanks to the hard work of our crew members, we maintained our focus on low cost throughout 2011, keeping our nonfuel unit costs relatively flat year-over-year. Looking ahead to 2012, we expect to face significant challenges with respect to maintenance expense, which Mark will discuss in more detail. While we're taking steps to help offset some of those cost burden, including implementing a management hiring and salary freeze in 2012, we recognize we have more work to do on the cost front. In closing, we are very pleased with our 2011 results. During this past year, we strengthened our solid financial foundation by focusing on prudent deployment of capital, cost discipline and revenue maximization. We took steps, including a commitment to purchase A321 and A320 Neo aircraft to ensure we are well-positioned for long term sustainable growth. We also successfully maintained a direct relationship with our pilots. We believe our outstanding crew members and unique culture will provide the foundation for continued success in 2012. We are optimistic that the momentum we have built in 2011 will position us well. We are committed to growing profitably on a sustainable basis and remain focused on improving margins and generating appropriate returns for our owners. Of course, we look forward to discussing this in more detail at our Investor Day in New York on February 15. And with that, I'd like to turn the call over to Mark for a more detailed review of our financial results. Mark?
Mark D. Powers: Thank you, Dave. Good morning, everyone. Thank you again for joining us today. I join Dave in congratulating our crew members on another great quarter. Today, we reported the best fourth quarter performance in our history, with operating income of $83 million. Despite having paid $128 million more for fuel, we improved year-over-year quarterly operating results by $28 million. Record fourth quarter revenues grow strong revenue performance as we outperformed the A for A domestic industry average. Year-over-year, our average one-way fare increased 11.4% to $156, driving fourth quarter passenger year-over-year unit revenue up 11.8%. Even with 10.5% more capacity, fourth quarter yield was up 11.3%. Load factor was up 0.3 points. This unit revenue growth is impressive, given our capacity growth during the same period. While capacities -- while capacity growth typically puts downward pressure on unit revenues, we were able to increase capacity in Boston and in the Caribbean while growing unit revenues. As Dave mentioned, we're very pleased with our fourth quarter revenue performance, especially during the off-peak travel periods. We believe improving revenue performance during these periods is essential to revenue and margin growth. Given JetBlue's strong leisure focus, we have always performed well during peak holiday periods such as Christmas and Thanksgiving. We believe we have ongoing potential for significant improvement in off-peak travel periods, as we harvest the product in network investments targeted to attract high -- higher-yielding business traffic, particularly, in Boston. As such, we were especially encouraged by our PRASM performance during the 3 weeks of November and the beginning of December, as closing demand in our shorter haul business markets accelerated. We're also very pleased with our revenue performance over peak holiday travel periods. In fact, holiday bookings at the end of December came in stronger than expected. Unusually mild, but certainly welcome, December weather in the Northeast led to a record completion factor of 99.9%. To provide some historical context, excluding 2011, our December average completion factor is 97.3%. As a result of this welcome weather, we flew more ASMs than expected. Turning to costs. Quarterly operating expenses increased 20% or $180 million. As noted, this was largely driven by higher fuel expenses of $128 million. Fuel, of course, remains our most significant operating expense comprising nearly 40% of the total. While the price of jet fuel over the last year has increased by about 30%, we believe we are well-positioned. We believe we have the most fuel efficient fleet in United States, with an average fleet age of only 6.1 years. Use of efficient operating procedures, such as single items and taxi are also essential. Shout out to our flight team and pilots who continue to do a terrific job of developing and implementing fuel saving procedures. In addition, we continue to manage our flight, our fuel hedge portfolio, really a form of insurance, to help mitigate price volatility and protect JetBlue against severe price spikes. In the fourth quarter, we hedged 45% of our fuel consumption. Including the impact of fuel hedges and taxes, our fuel price in the fourth quarter was $3.15 per gallon, up 30% from last year's price per gallon of $2.42. For the first quarter of 2012, we've hedged approximately 42% of anticipated requirements, using swap agreements, caps and collars. For the full year 2012, we're hedged about 27% using primarily swaps and collars. The underlying details of our hedge positions are more specifically described in an investor update, which will be filed later today. Approximately 5% of our 2012 projected fuel consumption is hedged using a WTI index. As of December 31, we're required to de-designate these hedges for accounting purposes. This is a result of deteriorating correlations between WTI and jet fuel prices. As of December 31, we had $3 million in deferred losses relating to these hedges that will be recognized in fuel expense throughout 2012 as the contracts sell. Any incremental increase or decrease in the value of these contracts will be recognized below the line in other income and expense. Our preference is to designate all hedging transactions for accounting purposes. Therefore, we may well enter into bread based contracts in the future. Based on the heating oil forward curve as of January 20, crude -- I'm sorry, Brent crude is averaging about -- I'm sorry, based on the forward curve as of January 20, Brent crude is averaging about $109 per barrel for the full year 2012. The crude to heating oil crack spread is averaging about $16 a barrel. Including the impact of hedges, we are estimating a first quarter fuel price of $3.18 per gallon and a full year per gallon price of $3.17. With respect to other costs, excluding fuel, year-over-year fourth-quarter unit costs decreased about 1.5%, slightly better than expectations and guidance. As Dave noted, the one area we continue to see the greatest cost pressure is, of course, maintenance and repairs. Our maintenance expense for ASM increased year-over-year approximately 17%. This was primarily attributable to the gradual aging of our fleet. As of December 31, 2011, our oldest A320 had an age of 12 years and the average age of our fleet increased to 6.1 years as compared to 5.4 as of December 2010. 2012, we expect maintenance expense will continue to be a major challenge as a large group of A320s acquired in mid-2000s during a period of rapid fleet expansion are now due for seat checks and engine restoration checks. For the past year, we've worked with our various maintenance repair and overhaul partners in manufacturers to address the expected check in restoration increases and with their valuable assistance, have focused on smoothing future costs to limit further step change increases. As a result, we expect the rate of maintenance expense increases experienced in 2011 and 2012 to slow in the future. Moving to the balance sheet. We ended the year with unrestricted cash and short-term investments of approximately $1.2 billion. During fourth quarter, we generated operating cash flow of $114 million, made debt and capital lease payments of approximately $65 million. Our future debt payments are manageable. And we expect to pay them this year, again, with cash from operations. Specifically, first quarter scheduled principal payments on debt and capital leases are expected to be about $45 million and approximately $200 million for the full year. JetBlue ended the year with a fleet of 169 aircraft. In 2012, we expect to take delivery of 7 A320s and 4 E190s, one A320 and 2 E190s deliver in the first quarter, 2 A320s and one E190 in the second, one A320 in the third and 3 A320s and one E190 in the fourth. We will continue to seek opportunities to improve our balance sheet. To that end, we currently plan to purchase several of our 2012 A320 deliveries with cash and will only finance A320 aircraft on terms that approximate our weighted average cost of debt. We intend to purchase the 4 E190s using Brazilian export supported financing. We do not anticipate using lease financing for any of these 2012 deliveries. We continue to take a measured approach to capital spending by making prudent investments that we believe position JetBlue for long-term profitability. With regard to the fourth quarter, we spent approximately $95 million in aircraft CapEx, $75 million in non-aircraft CapEx. This also includes $40 million related to the acquisition of 16 slots at LaGuardia and DCA. The full $72 million paid for these slots will be amortized on a straight-line basis over a 15-year period beginning May of this year. We estimate 2012 capital expenditures about $645 million, $430 million for aircraft, $215 million for non-aircraft related expenditures. Non-aircraft CapEx includes $50 million related to LiveTV. Over the past 2 years, we've focused on managing and smoothing our debt maturities through a combination of structuring new transactions as well as prepaying existing obligations. In 2011, we prepaid $39 million principal amount of our 6.75% convertible notes, giving -- given the weighted average cost of debt of approximately 4.5%. We believe retiring a portion of this higher price debt is a prudent use of cash. This prepayment also eliminated the potential for the issuance of 80 million shares associated with this convertible debt, which will no longer have a dilutive effect on EPS. With manageable 2012 debt maturities and manageable 2012 capital commitments, we believe JetBlue is positioned to maintain strong liquidity. We expect to end the year with cash as a percentage of trailing 12-month revenue of approximately 20%. As Dave mentioned, in 2011, we generated positive free cash flow for our third consecutive year. For the past several years, we have worked with our aircraft and engine manufacturers to reduce our capital expenditures, a critical element of positive free cash flow and sustainable growth. In 2011, we canceled the delivery of 14 E190 aircraft and announced the deferral of 8 A320 and 7 E190s. These actions substantially reduced our aircraft commitments in the near term and helped smooth future debt and pre-delivery deposit requirements. Before turning to 2012 guidance, let me announce some changes we plan to make our disclosure practice as we begin the new year. Given our compress booking curve, we do not believe we can provide meaningful revenue guidance until we are inside the PRASM. Excuse me. We will continue to provide PRASM expectations for the current month on the quarterly earnings calls and we will provide PRASM guidance for the following 2 months in our traffic releases. Accordingly, today, we will provide a PRASM outlook for January. In our traffic release next month, we will provide PRASM expectations for February. March PRASM guidance will be provided in March. Additionally, we plan to provide guidance ranges to the nearest 0.5 in an effort to be more precise when rounding up or down. Turning to capacity. As a result of our continued expansion in Boston and the Caribbean, we plan to grow year-over-year 2012 ASMs between 5.5% and 7.5%. We expect first quarter ASM growth to be much higher than the rest of the year due to low ASM growth during the first quarter of 2011. Recall, in the first quarter of 2011, we reduced our schedule to accommodate new pilot training. In addition, winter storm related flight cancellations during the first quarter of 2011 significantly reduced our flow in ASMs. These 2 items will impact year-over-year capacity comparisons. As such, we expect year-over-year first quarter capacity to increase 9.5% and 11.5%. Turning to revenue. We are encouraged by demand trends. We expect the robust demand environment to continue to the first quarter. The success of our initiatives to attract higher-yielding customers is apparent in our PRASM gains, notably, off peak travel periods. We expect January year-over-year PRASM to be up between 8% to 9%. We are seeing similar strength in February. As noted, we will provide more specific revenue guidance for February in our January traffic release next month. As we further enhance our Even More offerings, we expect this to continue to be an important source of revenue. In 2012, we expect ancillary revenues year-over-year to increase approximately 10%. Turning to costs. Higher fuel prices will certainly continue to pressure us. We expect [ph] nonfuel unit cost pressure in 2012 will again be maintenance expense. Looking at ex fuel CASM guidance for the year, recall, year-over-year unit costs improved as we moved through 2011. As a result of comparisons this year, we'll be impacted by that trend, with stronger relative cost performance expected at the beginning of 2012. We expect ex fuel CASM in the first quarter to range between a decrease of 0.5% and an increase of 1.5%. CASM all in will range between 2% and 4%. For the full year, we project CASM will increase 1.5% to 3.5%, and ex fuel CASM will be up between 2% and 5%. Anticipating your questions on this range, again, note that maintenance is approximately 2/3 of that increase, the balance then is split evenly between estimated benefits and payroll and profit sharing expense. In closing, we are very optimistic. We are committed to building shareholder returns. We believe our strong financial foundation has positioned us well for future continued success. We look forward to providing more in-depth look at these and related matters at Investor Day on February 15. And with that, Dave, Robin and I are happy to take questions. Thank you.
Operator: [Operator Instructions] And the first question is from Michael Linenberg from Deutsche Bank.
Richa Talwar - Deutsche Bank AG, Research Division: This is actually Richa Talwar, his associate just filling in for Mike. One of my first question, I was hoping you could talk about your recently announced partnership with Hawaiian Airlines a little bit more and on your other partnerships that you've been announcing. Can you tell us if you could quantify at all the impacts in these arrangements on other payors? or Just calculated them to be at all accretive and also on the Hawaiian partnership, I was hoping you could just share what the dynamics of the code share are, like, when you think it would be possible to implement that and if it would be a one or two-way code share?
David Barger: This is Dave. First of all, with our 15th partnership with Hawaiian, this is implementing on a strategy that the foundations been laid with our network as well as investments such as with Sabre previously. This is our 15th partnership and while we'll certainly share more on this at Investor Day regarding additional color on the type of traffic that we're seeing and also in terms of what this means in terms of revenue for us. I'd start to say, that really inside of each of these partnerships, the numbers are quite confidential, right? Because obviously, this is pretty significant to our business model. So on this call, we'll go into specifics in terms of any of the 15 partnerships. Now with regard to Hawaiian and we have interline over LAX today, effective June 5 with their inaugural. As we have an interline relationship partnership with Hawaiian and one-way code, which we believe makes a great deal of sense for our model, we tend to extract the greatest benefits with both of those in place and some of the sectors from a revenue perspective. We're really excited about what this means. This is the first nonstop in a long time on this side of the Hudson and with our network behind it and the ability to catch the mid Atlantic, the Northeast and even Florida and some of the Caribbean, it's quite positive in terms of what it means and again 5 to 7 additional partnerships over the course of 2012 and not just at JFK but also across places like Boston. As we mentioned LAX, places like Orlando as well so, more on this as we get into Investor Day here February 15 in New York.
Operator: The next question is from Jamie Baker from JPMorgan.
Jamie N. Baker - JP Morgan Chase & Co, Research Division: David, you cited some business traveler metrics but it still doesn't seem that your share of the wallet in New York and Boston is where it could be. I do realize you're pretty aggressive with upsells and what have you, but it still doesn't seem to be much of a recognition of your most loyal higher-yielding passengers, no elite program, for example, I guess, I'm just surprised, it almost seems as if you're letting it happen naturally as opposed to really being out there and courting higher-yielding business travelers. Is my understanding incorrect in that regard?
David Barger: Jamie. It's actually, I believe so, to be candid with you, and when we look at really, our mix, the problem that we're trying to solve is really the trough period, right? Historically the troughs, the peaks just screamed and the troughs were weak and so as we invest in more of a network, a business model in places like Boston. And now we're seeing 30% type traffic on business, in and out of Boston, that's significantly enhanced from what we see across the rest of the network at 15% to 20% and so keep in mind, if you're talking about those markets that are now starting to mature into year 2 are harvesting some of the investments that are taking place. Listen, when you look at the history of some of the other carriers in Boston, as we're flying to places like O'Hare, as we're flying to places in the mid-Atlantic as an example into a Newark, certainly the investment that's taking place previously at Reagan National and potentially more. Clearly, I think, that are operating in addition to TrueBlue, in addition to Even More is quite a nice offering. it's a little bit contrarian [ph], Jamie from --. By the way, the platinum, the -- the platinum, the gold, the silver, by the way, here's the club experience. Our model is a little bit different along those lines and so, I think, what we're seeing, the trajectory is quite solid in places like Boston. With regard to Kennedy and when you're really look at our franchising in Kennedy. we take a look at this airport differently because of its geography versus the La Guardia and versus a Newark. And as such, we certainly see our fair share business customers but that network is really positioned for the leisure traffic, for the VFR traffic and so it's kind of nice. I think what I've seen really with this year-over-year PRASM growth during the troughs, we're really pleased with and we saw it again in early November, the first 3 weeks and we saw it in the early part of December. It's a little bit of a tougher comp, but quite pleased with what we're seeing on our investment, Jamie.
Operator: The next question is from Gary Chase from Barclays Capital.
Garrett L. Chase - Barclays Capital, Research Division: Just wanted to see you -- see if I could ask one of Mark and then maybe one for Dave and Robin. The first, Mark, as we're sort of running through the numbers and we did this quickly based on your 2/3 comment on the maintenance issue. It looks like it's somewhere between $50 million and $90 million of additional expense that you'll be incurring in 2012 versus '11 on maintenance and I know you've described this in the past that sort of, the contracts were set up in a way that rewarded growth that didn't ultimately materialize. When you think about this problem, can maintenance costs actually go down? Or what we really talking about is really just a smoothing out of this process and I guess, maybe another way to ask it is. When you look at maintenance that you'll actually spend in 2012, is it an appropriate level or was it and therefore was too low last year or are you paying too much now and you need to rationalize that?
Mark D. Powers: So, I think, your observation is right. The range is probably on the high side that you sighted, but certainly that's kind of the order of magnitude, decreased a little bit. We are -- I would think, Gary, that this is one of those areas that we are willing actually to spend and invest to reduce the amount and change the shape of that curve going forward. I'll give you a very specific example. In the fourth quarter and the first quarter of this year, we purchased 6 spare engines, new spare engines, from IAE to put into the MTU engine pool and take 6 other engines out. That had the effect of essentially reducing the flight hour -- effective flight hour improvement under the MTU agreement. Now the terms within MTU are not fully documented but they're nearly complete. But recognizing, as you said that these are high costs, that's the kind of investment we're willing to make to essentially bend the shape of that curve. Having said that, the fleet is, it's a fact, the fleet is growing older. So the rates in honeymoon that we enjoyed prior to this period of time are in the past. You'll recall as well, that when we're taking 36 aircraft a year, that mix -- that honeymoon mix much different than what you see today. So this is in some respects the other side of the benefits of slowing the growth and generating free cash flow.
Garrett L. Chase - Barclays Capital, Research Division: So it sounds like you're really just catching up of where there isn't much opportunity. It's not like you feel your '12 maintenance-expenses are going to be too high for what your -- for the maintenance that you're actually performing.
Mark D. Powers: No I think it's again, it's the adjustments that we'll make will be in the millions of dollars but it won't be 50% type of cuts -- structural cuts.
Garrett L. Chase - Barclays Capital, Research Division: For Dave and Robin, if I could just pick up with one quick follow-up on that last question that Jamie asked. I mean, you did mention the Boston markets having a higher business mix than New York, at least on our numbers when you look at the RASM numbers and try to index them, it doesn't look like they're outperforming New York. When you take stock of typical spool and development, whatever you want to call it, market maturation. Do you have line of sight on this higher business mix outperforming what you have in New York or is it comparable or inferior?
Robin Hayes: I'm Robin, let me take that. As we think about the investments we've made in Boston. We had 2 years of very significant new network investments building a sale force there in terms of going in and winning corporate contracts. I think, we've told before that the ramp up period on these markets are -- it takes longer. And I think, we've been able to offset some of those investments with very successful and profitable flying to additional markets in Florida and the Caribbean, and I think, what we're now seeing and I think, Dave made these comments in his call. As we looked at quarter 4, if you looked at what were the best performance for us in terms of year-over-year growth, it really was the shorter [ph] markets out of the Northeast, predominantly Boston. So we feel very good that for the last 2 years we've been making some major investments and as I look to 2012 and beyond, slowing the growth slightly just because we've been accelerating that at such a tremendous rate. As we have more markets in the mature phase, I see our ability to reap the rewards from those investments and maybe just touching on Jamie's earlier question about shared wallet, I mean, I agree if you look at where we are in Boston, which is how I look at this. We're still under indexed in terms of shared wallet of the very high frequency business traveler. We've made great inroads and we're doing really well in this sort of low to medium frequency. And with things like the network development that Dave talked about, the security check line improved terminal security [ph] in Boston and we are, as we said before, we are planning this year to make some changes to our TrueBlue program. But we think we'll better motivate [ph] very good small group of very high frequency business travelers, particularly flying in and out of Boston.
Operator: The next question is from Bill Greene from Morgan Stanley.
William J. Greene - Morgan Stanley, Research Division: Hey Mark, I was wondering if I can ask your thoughts on the EMBRAERs. I realize you adjusted the fleet plan last year, but I've got to believe that over $100, we've got to start asking again, do the EMBRAERs work? I realize you said some of the shorter haul markets, you saw some of the best RASM improvements and that of course, would make sense given that, you would also assume that some of your least efficient flying from a fuel perspective. So is there a price point where we have to revisit that fleet plan again? Do we have to think about that? Or did you sort of set that last year and you feel pretty good even at substantially higher fuel prices?
Mark D. Powers: Well, the flip answer is that -- Bill, the flip answer is, I think about it all the time. I think about the A320 all the time, as well as the A321 all the time. So we are constantly in the state of looking at what this network wants in terms of fleet demands. And absolutely, as we look at higher fuel prices. You know there's the calculus is absolutely right. Does the fleet want to be 50, does it want to be 75 or does it want the full 100 that we have on for motor [ph]. As we've discussed in the past, we have been working with as part of, again, the more recent A320 [indiscernible] resizing the E190 fleet down to 75. Is it going to be really 70 or 80? We're fine tuning that with the network constantly asking the precise questions to do that. Did you add anything else to that?
Mark D. Powers: Bill, the only thing I would add in addition to that, when we look at that gauge aircraft and what we've been able to do in a place that Boston but also let me take you down to some of the shorter haul in the Caribbean, which we launched in St. Thomas and St. Croix and St. Maarten and potentially other locations across that part of the world. That gauge -- that size gauge aircraft is actually has been very beneficial for us to literally this Boston 150 plan that we're talking about by 2015, the 100C gauge was really important to us in terms of frequencies to the Buffaloes, to the Raleighs, to the O'Hares of the world. So Mark, I think, you captured it. Bill, your calculus is right on, but at the same time we're committed to the aircraft this size of what looks like 75 into the fleet and deploying that it now and into the future.
William J. Greene - Morgan Stanley, Research Division: And then you were successful, obviously, at keeping your relationship direct with your pilots. How should we be thinking about that what that implies for labor CASM but even broadly, not just the pilots but also just how should we think about labor inflation costs for 2012?
Mark D. Powers: Sure, you got it Bill. First of all, this was not a -- this was significant in 2011 and a threat to our culture, I'm just going to be candid with a third-party with something that's very significant to building our culture that's collaborative history that we've had. And so again, I think the ability to just educate our pilots and the rest of our crew members about our model. And there's plenty of room for other models at other companies in this industry, but our model has been pretty special for us. Now all that said, now specific to comp and benefits, across all of our workgroups, we have a history of pure competitive compensation and benefits and actually, when you start to take a look at, as we are growing in this year and we start to take a look at, even internally, unit costs from a labor perspective, we're quite pleased with what we're seeing over the course of 2012 and I won't go specific on individual areas. But I will be -- I'll add color into areas such as when you look peer competitive and benefits, there's no doubt that we look at pilots with pure competitive retirement and this is discussions that we've had with our pilot group in the past, as well as the team here at Forest Hills. So when Mark talks about 2% to 5% as we're giving guidance on ex fuel CASM, including maintenance material and repairs, clearly, as he highlighted, we have some growth investments in there tied into comp and benefits and also things such as profit-sharing. When we take a look at our 5% guarantee, so it's -- I think we're right sized as we look at 2012, Bill. The fact that, I think, what you're maybe asking is, are we inefficient because we have a direct relationship and we're absolutely not.
William J. Greene - Morgan Stanley, Research Division: Sorry, no, I actually was just trying to figure out if that means we should see a step up in labor inflation costs? That's all I was getting at.
David Barger: I think we feel good about labor over the course of this year.
Operator: The next question is from Glenn Engel from Bank of America-Merrill Lynch.
Glenn D. Engel - BofA Merrill Lynch, Research Division: You talked about competitive capacity in the Caribbean in 2011. Can you go through your major markets transcon the Caribbean, Florida and how competitive capacity looks early in 2012?
Robin Hayes: Glenn, it's Robin. In terms of, I think, right now we just got insight into the first 2 quarters of the year. It's hard really to tell second half the year exactly what's going to happen, it takes you into the fold [ph] there which tend to be kind of sensitive time [indiscernible] some capacity and I think we feel good in terms of seep [ph] into competitive markets that we're going to see continued capacity reductions, we're kind of looking at between 1% to 2% for the first quarter in terms of, if we look, just to give you a couple of examples, Boston, we're currently seeing competitive [ph] capacity down 3.6% quarter 1, Caribbean nearly 7% in quarter 1, mostly reductions like changes on Boston DCA [ph] it just would be JetBlue and US Air flying that market and we continue to see other airlines pull out of markets in the into the Caribbean, for example, [indiscernible] announcing last week they're talked about pulling out of [ph] someone. So still feel pretty good about competitive change in our ability to influence in some of our core markets.
Glenn D. Engel - BofA Merrill Lynch, Research Division: In Florida?
Robin Hayes: Florida, we saw some increases there and some that has been coming out again.
Glenn D. Engel - BofA Merrill Lynch, Research Division: And that was one market that I thought yields had been lagging behind over the last couple of years versus the others. Is there any sign that that's catching up?
Robin Hayes: I think there was a couple of factors. I think, first of all, very mature market that we've been serving a long time. And secondly, we did see some additional capacity go in that started to come out again. So more recently, as you just this week seeing Southwest [ph] announcement to withdraw from the Whiteplains [ph] into Florida market. So I think we are -- we're still very encouraged by what we see at Florida and it's still very possible to pull [ph] that franchise.
Operator: The next question is from Duane Pfennigwerth from Evercore Partners.
Duane Pfennigwerth - Evercore Partners Inc., Research Division: Wondering if you could just dial back to December, it sounded like in the commentary you're pleased with the first half of December, maybe I'm reading too far into it but did December close the way that you anticipated?
David Barger: December was great. I think the point that was being made in the earnings call was really as we -- what we saw our chances in December has always been the first 2 weeks not the second 2 weeks and as we have gotten better and better at filling the off-peak periods, we were very pleased with both the first 2 weeks of December that was sort of 10, 11 days of December and the peaks performed very well as well. The only thing that surprises about December was the ability to run a completion factor that was close to 100%, which is significantly higher than we planned. If you remember last December, there was a major event that didn't happen this year and I think that was only thing that surprised us about December.
Duane Pfennigwerth - Evercore Partners Inc., Research Division: And I understand visibility is probably a bit limited into March, but it seems like most industry folks have talked about March maybe being a little bit of a tougher comp given the fare increased activity that started to take hold last year, so how should we be thinking about the March comp for JetBlue?
Robin Hayes: I think as Mark said, our visibility beyond February is very limited. I would just point to you though in previous years, I think, the unique thing about our business model versus others is, I think, we're having great success in filling some of the off-peak months with different business.
Duane Pfennigwerth - Evercore Partners Inc., Research Division: Fair enough. And then just lastly, just going back to engine maintenance, can you just remind us sort of what percentage of your fleet is on power by the hour agreements and sort of when you started to layer those on and thanks for taking the questions.
David Barger: The D2500, which is the mainstay of our fleet, of course, is covered under AFR by a power by the hour agreement. The CF34s [ph] and the E190s are currently time and materials and we're looking at power by the hour options on that engine. So the proponents of our fleet are need to be covered by FHAs.
Duane Pfennigwerth - Evercore Partners Inc., Research Division: So is the issue for this year going back to when these -- when these aircraft were ready [ph] . Is the issue that you are not under power by the hour back then, or that it relates specifically to the 190s?
Robin Hayes: So the D2500 power by the hour looking is at least 5 years old. I'm looking at Dave for validation because I wasn't here but I think it's already 6 years old. So it's not a recent contract, it's a contract that we've had and the rates and charges under that contract are have essentially the buckets under that are largely a function of hours and a timeline on the engines themselves. So it's a little bit [ph] similar to some of the engine contracts that you might be thinking of, which are just flat rate over the full term and in this case, with MTU [ph] the rates are variable based upon a number of factors.
Operator: The next question is from Dan McKenzie from Rodman & Renshaw.
Daniel McKenzie - Rodman & Renshaw, LLC, Research Division: Wanted to circle back with the network question and I understand the growth at San Juan, Boston and New York and going back to just a couple of years ago, one market that had a really big spotlight was Latin America, particularly the Bogota and today pricing in the market has really kicked in. So I guess what I'm wondering is with just with Bogota, looks like you've given up on what appears to be a pretty high margin geography and I guess, I'm just wondering what's the difficulty of doing business in that part of the world and what's holding you back from building out more to that region?
David Barger: And as I recall, it was probably a year ago where you asked a similar question regarding maybe experience anecdotally that you had Orlando to Bogota. I would say that Latin America, the Caribbean/Latin America is obviously the region. Some are very much different than others when you think about VFR traffic, [ph], etc. Bogota and the Latin America route stand at the top, the top, when we look at margins at this company and so similar to maybe reference to Boston it takes time where you can start to harvest some of the -- reap the benefits of what's taking place, for example, in Bogota, you can certainly draw the conclusion that we're going to continue to invest in that part of the world. This is a company that was -- at its heritage a young company that was going to fly domestic, everything was in and out of New York. And then when I look at our first foray into Santo Domingo, which we closed, we went into Santo Domingo, it was too hard, if you will, when we looked at the operations in and out of Santo Domingo from Kennedy, we went back in, in a significant way. We're the largest airline to and from the Dominican Republic. We're the largest airline to and from the Commonwealth of Puerto Rico and growing both of these locations. We're in 5 locations in the DR, 3 in the Commonwealth, there's potentially other locations. Bogota, Cartagena, you start to take a look at Callie and others within the geography, the range of our current fleet, listen, this has been very good for our company and it took a period of time to understood how do you sell in another country? How do you sell through the travel agencies and collect taxes in another country? Do you have the systems in place? And so it's been very pleasing. I take you over to Costa Rica, San Jose Juan and Liberia, now nonstop out of Kennedy. So we couldn't be more pleased with what's happening down in the Caribbean and Latin America and specifically, Latin America, Dan.
Daniel McKenzie - Rodman & Renshaw, LLC, Research Division: I guess I could focus my second question domestically, here looking at Orlando and Fort Lauderdale and you folks have called those 2 cities out in particular as focus cities. But when I look at what's happening there, it looks like growth is really tapering off and so I guess I'm wondering if you are all concluding that essentially you're full up at those cities at those focus markets.
David Barger: If I may, Dave and Robin jump in, the answer is fort Lauderdale-Hollywood, the south runway, Rob was down there, our Chief Operating Officer, with the investment that's taking place by the FAA and Broward county to extend that runway, which is very nice when you think about its geography versus Miami and versus West Palm Beach. Or I should say in addition to obviously in the TBI. Lauderdale is open for business and we're going to keep growing it and as we talk about Bogota to Fort Lauderdale and as we're working our final flight schedule, as we're taking a look at additional flying from Fort Lauderdale down to the Caribbean. Interesting, a large competitor that is a discount carrier in JetBlue markets on a year-over-year basis is down close to 30% ASMs in similar markets. I don't think that that's just a happenstance. As those airplanes are flying elsewhere. Let's go up to Orlando and our investments that have taken place in Orlando with by the way the 190s and the 320s over time including South and so we're very much committed to both of these locations and by the way, the geography and the purpose within our network that both of these locations are considerably different. They're destinations, of course, but there's certainly quite a bit of origin [ph] traffic and a lot of VFR traffic as well. You look across central Florida and the second-largest Puerto Rican population in the United States across from Tampa to Daytona Beach with Orlando right in the middle. That's just terrific geography. We're going to keep growing those locations, Dan. Robin, anything else you want to add?
Robin Hayes: Just to stress that Fort Lauderdale, I think we are going to continue to see low single-digit ASM growth there this year. We start in Jamaica end of April and that is certainly affects us. Orlando, too without going into too much detail we have some sort of infrastructure challenges with the airport that we're working through before we can grow further but once we overcome there we think that's going to be useful.
Operator: The next question is from [indiscernible] from Raymond James.
Unknown Analyst: Was wondering if you made a decision on the additional fleets -- EMS fleets on the E190s?
David Barger: That reconfiguration is due to happen second to third quarter this year to provide an extra 8 Even More Space seats per 190.
Unknown Analyst: To all of them?
David Barger: Yes.
Unknown Analyst: And what's the general premium versus the regular tickets on those?
David Barger: Even More Space seat goes from anything from $10 up to I think it's $65 or $70.
Unknown Analyst: And just one last one, it looks like -- if you look at unit cost, ex fuel unit cost, they seem to be growing every quarter for the past few years and then we saw them decline last 2 quarters of 2011 and it looks like it was helped maybe by kind of the labor cost per unit cost perhaps coming down. Just wondering, was kind of a onetime thing or once the maintenance costs stop being such a big headwind we'll see that continuing?
Mark D. Powers: If you look at our year-over-year CASM ex fuel and you made accommodation for some of the maintenance costs that we've been talking about, I'm quite pleased to see that we are very, very flat really a credit to a lot of Crew Members around this table as well as all of our Crew Members and productivity. So I think it's really -- you're really seeing a lot of maintenance issues that we need to work through but beyond that, it seems pretty flat to us.
Unknown Analyst: So in a kind of high single digit growth capacity growth environment you think you can keep ex fuel CASM flat?
Mark D. Powers: That is certainly one of our goals. Again covering out the topics that we've been talking about earlier today.
Operator: And that was our last question.
David Barger: Great. Sandra, thanks so much. Let me just close by saying, I'd like to thank everyone for joining us on our call this morning highlighting the fourth quarter and the full year 2011. I'd also like to close by thanking our 14,000 crew members for a tremendous performance over the course of the past year. We're very excited about 2012, and we look forward to talking to you all again as we close the first quarter. Thank you. Have a great day.
Operator: Thank you, ladies and gentlemen. This concludes today's conference. Thank you for participating. You may now disconnect.